Operator: Ladies and gentlemen, welcome to the Randstad Q4 annual results 2016 call. My name is Laura and I'll be coordinator for your call today. I will now hand over to your host, Robert Jan van de Kraats, CFO, to begin.
Robert Jan van de Kraats: Ladies and gentlemen, good morning, welcome to our results discussion, Q4 2016 and full year 2016. I'm here together with Jacques van den Broek and David Tailleur and some other colleagues who will be supporting us to share the results with you. Please also note that our annual report is now available online on our website. I'm going to take you through some of the slides and then we'll end with Q&A. Moving to slide 5 right away which shows the highlights of Q4, the improving momentum in Europe and clearly this was not a bad quarter at all. We've seen accelerated growth in Europe and the rest of the world and the U.S. remains in positive territory. We've also made clear progress on our recent acquisitions and also 2017 shows a relatively good start, in line with Q4. Moving to slide 6, the P&L, a strong top line finish of the year. A good organic growth for the year, 5%, an improvement in the EBITA margin to 4.6% from 4.5%. If you look at Q4 specifically, we've seen growth accelerating a bit, as I just referred to which has resulted in additional investments in our OpEx to serve these strengths. Also our year-end closing which typically brings some incidentals, shows a little less incidentals this year compared to last year. And one point to note also is our perm growth of 4% in the quarter is a little less, due to the effect of having less Mondays. Q1 shows a good start January, so we think we're roughly at high single digit as a comparison base. We've now seen more than three years of growth in our book. As you know, we always aim at an incremental conversion ratio of around 50%. The first year we aimed at a conversion ratio of between 70% and 80% which we have shown, then it goes to around 50%. Given the fact that we have now been growing for more than three years, the range is towards 50%. The regional split on the next slide, 7, improving momentum in Europe, it's always a little difficult to read the month of December given the holidays, because all working days this time had a full impact due to the timing of these days. But across the board, as you can see, in the rest of the world, in Europe, clearly good momentum and North America is keeping up. North America, on slide 8, stable growth trends, revenue growth at 1%, perm somewhat down, but again please note the effect that I just referred to. U.S. staffing, it shows that we're holding up nicely also versus market here. U.S. Professionals, revenue down which probably is close to market at least and if we look at IT, that seems to improve a little bit, M&A remains challenging. Canada doing well, revenue up by 4% again and that clearly is market outperformance. Our EBITA margin improved which is effectively the same improvement as for the full year. The Netherlands, on slide 9, focus on our customer profitability, that's the key theme here. The payrolling business, the impact of the loss of the Central Government as a client will be dealt with at the end of Q1, so it still comes through here. Revenue remained at 2% growth, pricing pressure clearly continues and that's also why our focus is on customer profitability. SME growth, 12%, clearly outpacing our large clients. Perm at double digit, our combined staffing and in-house business shows 3% growth and Professionals down. Please note that Q4 last year showed 19% growth which is a challenging comparable base. And also we have quite a few young consultants in our organization which are going through their learning curve. The EBITA margin flat, I think that's a good reflection of our focus here. France, on slide 10, accelerating top line 10% growth now. We see this level of growth in a few European countries, but it's very good to see this in France also which most probably is better than market. Combined staffing business at 9%, but also Professionals, so across the board. Something to point out here is the effect of big data. So our digital efforts, we can see them coming through amongst the perm growth in France, 21%, clearly fueled by that. Our EBITA margin improved to 5.5%, again the same delta roughly as for the full year. As you know, we're working on the transaction of Ausy. We now have control of the company, we own 93% of the shares. We're working on the next step and are confident that we'll complete this. On CICE, some questions. We have various scenarios, whatever the political changes will be, it's clear that France needs some support on the low wages in order to be competitive. Please also note that at Randstad we have net operating losses in France which are not valued, given the fact that CICE is not taxed. If anything will change here, these would come into force, but all too early to say at this point in time. And please also note that in Q3 2017 this year, we will receive the first part of the CICE which is in the balance sheet, roughly €70 million. Germany also showing double digit growth on slide 11, improved from 5% in the previous quarter, especially our SME segment is doing well. Also our Professional business performing quite well and the EBITA margin lower this time which is due to the release of, as you can read here, holiday accruals and fewer working days and also the effect of the new regulations coming through in higher sickness rates which is rather unfortunate. There is additional regulation being discussed in the German markets. We expect it to come through and we also expect it not to have a relevant impact. On Belgium, slide 12, record profitability which is quite a nice combination with the fact that we're closing the gap with the market. We've been behind market for a while, due to focus on customer profitability. Now that gap is being closed and that comes in with record profitability which I think is an excellent sign. Also the gross profit level a good improvement and the EBITA margin now at 7.6% which I would say is rather high. Part of the delta can be explained by the higher release of social security accruals at the end of 2016, compared to previous years. Iberia, slide 13, strong growth on higher margins. Clear acceleration also here, 10% growth, that seems to be the name of the game. In Spain we see 12% growth and in Portugal 7%, so that's a pretty good result also. Our EBITA margin improved by 30 basis points, full year it even improved by 40 basis points which is reflecting good productivity. The UK, on slide 14, the Brexit impact continues to be limited for as far as we can analyze. Revenues were up by 2%, but our perm fees were down. CPE, the construction space, is performing well. Our EBITA margin lower this time which is also the result of the fact that we have lower perm. On a full year basis the EBITA margin improved by 10 basis points to 2.5. Slide 15, the other European countries, we're especially happy with the performance of Italy. Organic revenue at 26% and our recent acquisition completed in the summer of last year, Obiettivo Lavoro. The integration clearly on track, but also we've shared with you that business growth was a key priority in this company, it's back to growth in January. So we're very proud to have achieved that on such short notice. Also the businesses in Switzerland and Poland are doing well and in the Nordics, our Proffice integration is also completely on track. Rest of the world, slide 16, growth clearly picking up. In Japan it continues at 5%, Australia is a clear improvement and as you can see, also the other regions are doing well. We have changed our focus, as we have shared with you before, on profitability here. As a result of that, the EBITA margin has improved. Now some words on the recent acquisition of Monster. The slide on page 17 is one that we're going to use going forward. We'll share that more frequently with you and I'll elaborate on part of it and Jacques will elaborate on another part of it. We have given you time indications at the top and these are the components that will support us getting value out of our transaction. Please note at the bottom that the Monster underlying EBITA 2016 was around $0 million and for Q1 we expect a small adverse impact. First box, corporate costs synergies. These are annual synergies, corporate costs synergies that means taking out the head of the company, the listing and so forth. We're going to see savings, annual savings, of $7 million per year. Also the way the transaction has been structured and financed, it will result in tax synergies of around $17 million per year. So these are key value components that will support the economic value realization of this transaction. Then it is clear that there was a downward trend when we acquired the company, this was known. It doesn't show real loss of clients, but it shows lower spend. That is something we need to work on and I'm now transferring to Jacques to comment on the other boxes.
Jacques van den Broek: Yes, good morning, everybody. Let's talk a bit about Monster. What have we done? So November 1, we had a big global kickoff across the globe. We met with the Monster teams, lots of excitement and positive energy there. Then we went into a long period of analysis, so what works well with Monster and where would we want to improve. What we share with you is that the business that Monster is in is very much going to a solution sell. So it goes from duration job postings that are not interactive with the client, to pay per click and pay per candidate. Monster has that but it's still, we think, a too limited part of their business and we're very much strengthening that. So we're going in full investment mode there to improve Monster and make it a bigger and better Monster. We made some direct organizational changes, as Robert Jan already pointed out, to capture some synergies. On the slide that says why Monster, there are three levels that we see us using and embarking upon with this project. The middle one is very much accelerate the digitization. I shared with a part of the analyst community last November what our strategy is on digitizing our traditional business and Monster is speeding that up. So their platform and technology will definitely help us there. We're very bullish and very enthusiastic about the social media aggregation, the talent bin that they have in there. Search engine optimization, if you're not in the top three on Google searches, you don't exist in a way, as Monster has an SEO department. With us that's limited so we're going to use that and very much mobile. We've got a vision that in the future every worker will have two logos on their mobile which is the Monster logo and the Randstad logo, where we will communicate together. So this is very much a project, it's underway. It will take the better part of 2017. The first one is something we already found out in our lift journey and our innovation fund journey, is that there are a lot of we would call them non-traditional players, who fueled by technology create business models in our space. We very much, together with Monster, will build businesses over time that compete with traditional business models and at the same time, will also reposition Monster in a way. It sounds a bit cryptic, but there's more to come here in the rest of the year. And the last one, a trend we've seen already for quite a while, it's around the passive job seeker. More and more, around 70% of job seekers are not really actively looking for jobs. And although technology can find these people, that's something else than engaging these people. And again, the access to talent is crucial for us going forward. You know Monster has 300 million profiles. They've got the knowledge to give us access to talent and this is a program again that we've embarked upon together with Monster which will definitely put both companies in a better space to find the talent that needs to be found. So you know, after the first three months we concluded lots of excitement and energy. It's definitely hard work, of course, as you know, Monster as a company had negative revenue. We can't change that all of a sudden. It's again hard work, but we're not afraid of it, neither at Monster nor at Randstad. So the work has just begun and we will keep you posted.
Robert Jan van de Kraats: All right, thank you, Jacques. This is a way that we think we can share some insights with you. Many others are still in progress, so we'll keep on updating you on the back of this journey. Moving to the financial results and the outlook, slide 20, the income statement. All of this has been addressed, I think, in the previous comments, with the exception of integration costs, one-offs. Please note that we have some restructuring projects for €60 million across the board in the Company. M&A took out roughly €10 million, of which Monster clearly is the largest and we also spent €10 million on integration of both Monster, Obiettivo Lavoro and Proffice in this quarter. The amortization and impairment has increased, due to the item relating to India, but also because of new M&A being included here. The net finance costs and associates is rather low, I would say and in the press release you can read that it includes the fair value adjustment, of which the bookkeepers are rather proud because it's science here. For the press you look at the net income here which I think indeed is, of course, it is a relevant number, but please note that net income includes the elements that I just referred to. So it is better to look at the adjusted number EBITA, the underlying EBITA. That's where the improvement is clearly visible. On slide 21, we share with you the performance by revenue category. Also here I would recommend to look at the full year effect, where you see clear improvements in every segment. In-house last year in the fourth quarter did have a one-off which hit the performance. Moving to the gross margin bridge on slide 22, we have a reset and that is because of the inclusion of Monster which clearly comes in with a lot of gross profit. And as a result of that, the numbers are changing roughly. If you look at the 40 basis points decline in the temp margin, the explanation is low incidentals that I referred to at the beginning, 10 basis points and pricing pressure, mainly in the Netherlands and France having an impact of 10. The rest is resetting the mix. The operating expenses bridge, please note, this is sequential rather than comparing year-on-year. The big box here is M&A, that's not our expense to do M&A; these are the operating expenses that come with the acquired companies. I think the story here on the slide clearly shows you that we're investing where we have growth. The balance sheet, on slide 24, net debt rather comfortable at a leverage ratio of 0.8. I think little to say, other than that DSO has gone up which is contrary to the trend we have shown you over the last years and this is the result of the inclusion of the acquisitions of Obiettivo Lavoro and Monster. And we think especially the Italian context is a challenge to work on and improve. By the way, the return on invested capital, a little lower this time which is clearly fully related to our recent M&A activity. Our free cash flow, on slide 25, it shows a decline of the free cash flow in Q4 and also for the full year. So I have a few notes to make here. One is the fact that we have working capital investments related to M&A which is again Obiettivo Lavoro and Monster. It's the increasing DSO and the fact that we have accelerated our sales growth. So this is investments and working capital, roughly €50 million is explained by that. And then 2015 was rather favorable on the cash tax rate line. Now it's more normalized, that explains another €30 million. Some comments on the net capital expenditures, as you can see here, a bit higher which is related to some projects which we have concluded in 2016. In terms of 2017 CapEx, I would say that our 2016 CapEx, including the acquisition, will serve as the high end of the scale for 2017. Moving to the outlook, on slide 26, on your request it's all printed here now. The organic revenue growth, again 6.6% in the quarter. January was between 5% and 6% growth. The Q1 comparison is a little easier and volumes, we measure volumes every week of the number of people that we have at work in our organization and those volumes indicate a clear continuation of the trend that we have seen in January. This trend, as you can see here, is expressed on the slide. One plus means low single digit, double is mid and triple is high single. So North America low single digit, the Netherlands also. France and Germany clearly high single digit, as is Italy, including the acquisition here. Belgium single digit, Iberia in the middle, the rest of the world -- sorry, rest of Europe single digit and rest of the world is now at mid-single digit. We have revised our geographical presentation here which will also be announced after this call in a separate press release, restating the 2016 data. It's an update on the website, sorry, so you can see the details on our website for 2016, in order to prepare you for 2017. The gross margin in Q1 is expected to slightly decline year-on-year which is the result of pricing and acquisition. And for Q1 we expect a roughly stable underlying operating expense, based sequentially on an organic basis. In Q1 there's also -- it's not expected, it's certain -- a 1.5 favorable working day impact due to Easter. Now finally, a few words on dividends. We have a dividend proposal included which is a record high. The proposal will be to pay €1.89 dividend per share which is a 13% improvement. It's a payout of 50% and it's clearly reflecting the strong financial position of the Company and it will be a full cash dividend. In order to give you some guidance going forward, we've also fine-tuned our dividend policy. So we will make an amendment to that which will mean which will imply that everything remains the same, with one exception, up to 1.0x EBITA. We will not provide the option for stock dividend; it will be cash only dividend. It's a small change, but we think it is relevant and it also fits the anticipated strength of the balance sheet throughout 2017. So that concludes our comments. Please note that on March 30, we'll have our annual general meeting starting at 15:00 hours. Thank you, we're now moving to Q&A.
Operator: [Operator Instructions]. Our first question today comes from Toby Reeks from Morgan Stanley. Please go ahead.
Toby Reeks: I've got a couple if I can. The first is can you -- on the Monster side, very interesting to get some detail, so thanks for that. You said the Monster platform and technology will enable us to speed up the digitization process. I think when you announced the deal you said it was going to be run as a standalone, is that the case still? Or do you intend to use that platform more, I guess, centrally for the rest of Randstad? And then secondly, could you update on how you're going to account for depreciation within your Monster integration? So that's my Monster question. And then the second one is could you give us an indication of what your expectations are around CICE, how it might change, i.e. the payments moving potentially from a deferred tax credit to a tax reduction and what that would be mean in terms of your conversations with customers? Thank you very much.
Robert Jan van de Kraats: Thank you. The depreciation element, it will just be following Randstad's accounting principles, so we'll apply the same standards as we do for the rest of the Group.
Jacques van den Broek: If I may, a quick follow-up on that. So to capitalize internally developed software will be replaced by an acquisition intangible and that will be below the EBITA line in Randstad accounting, that part.
Robert Jan van de Kraats: Yes, that's what you have to do when you acquire a company, the opening balance. But for the rest, for new investments, we'll follow the same rhythm as for the Randstad Group.
Jacques van den Broek: So Toby, a good question on Monster. Monster is very much a separate company and the strategy within Monster is very much to invest in again what we call solution selling, so pay per click, pay per candidate, will remain a standalone company. Having said that the knowledge this company has can be used to speed up Randstad. So we're not going to have shared platforms, it's a very much a standalone company from a technological point of view. On CICE that's a tough question. As you know there's elections coming up. Again there's never been a subsidy cancelled in France. So you know we -- CICE is big but we've got many more subsidies in the cost price in France. And CICE is widely regarded as one of the successful measures of the Hollande regime. So the numbers are great.
Toby Reeks: One of the few.
Jacques van den Broek: Excuse me?
Robert Jan van de Kraats: One of the--
Toby Reeks: One of the few.
Jacques van den Broek: Yes, one of the few but still -- so the system might change but as Robert Jan said it is a way to keep cost low at the blue-collar and low end of the labor market. So in that sense it's necessary.
Toby Reeks: But sorry to jump in. But if it moved to a -- I think in the past we've talked about it moving to a sort of straight tax reduction. Would that mean that you would have to re-engage with your customers to renegotiate contracts? Or is that not the case? And have you handed a lot of the CICE back to your customer already? Or is that the wrong way to think about it?
Robert Jan van de Kraats: The latter we haven't. As you might remember we were the last to do this when CICE was still a project. We were very adamant that we would do nothing. That cost us some market share but deliberately so. When it was then put in a law for a longer period of time. Of course we had to play the game. But no, a large part we keep. Certainly if the system changes then we need to go again, renegotiate with clients. But yes, that's the name of the game for as long as we've been in this business. So we'll see.
Jacques van den Broek: And please note that financially the subsidy has to be pre-financed for three years. So that I would say is a substantial amount of money for us now, €380 million. And is also -- it does not allow us to make use of our net operating losses. So that's also the flipside of it. So any changes to that might be beneficial.
Operator: Our next question today comes from Paul Sullivan from Barclays. Please go ahead.
Paul Sullivan: Yes, good morning everybody. Just firstly for me, on -- just on the gross margin, the 40 bps -- I know there's lots of moving parts there. But underlying are you seeing any signals that higher growth is coming at an increasing cost? That's the first question. Secondly, can you give us a sense of the organic run rate of Monster as it exits and as it enters 2017? And the -- you're talking about a small loss -- operating loss in the first quarter. Do you think your run rate of zero that you were running at in Q4 at EBITA level for Monster is sensible for fiscal 2017 as a guide? And then my final question is just to North America. I mean the underlying economy doesn't appear to be too bad. Why do you think staffing growth is so stubbornly low? And do you think you are starting to see signs across the wider market of pressure coming through from new entrants or online only platforms taking share?
Robert Jan van de Kraats: Paul thanks for your four questions. I forgot to say that we prefer people to stick to two. But I will answer these ones now. Gross margin, does it come at a higher cost? No, we think the trend is flat. So we indeed see a -- we have seen now over a few quarters the decline in the margin by 10 basis points roughly -- maybe a little bit just around that, a bit more a bit less. But that's what it is. No big change here, pricing pressure, especially in the Netherlands, France. Organic run rate of Monster minus 15. The -- I made the point of a small operating loss in Q1. I think that's the base to work with for 2017, that's especially why we're mentioning it and in the meantime we have a lot of projects that Jacques referred to which should set us up for a great future. Jacques is now going to take the next one.
Jacques van den Broek: Yes, on the U.S. indeed on the one hand you see a good economic base. On the other hand you see low growth. We're very happy with our own growth. As you've seen quite some staffing companies are boasting negative numbers Manpower, TrueBlue. We see growth very much on the back of our sales success in Inhouse quite a lot of new clients. So that's good. Your other question is very interesting and goes back to my statements on Monster. And that is new entrants. For example you've seen Robert Half put in not great numbers and we do see new companies for example a Hired.com, they're not just a start up with low revenues and a lot of investment, they already have sizable revenue. So these new models are definitely gaining traction in the U.S. market place which we think is the most developed one globally. And that's also why we have embarked upon our own tech and touch strategy.
Operator: Our next question today comes from Chris Gallagher from JP Morgan, please go ahead. Apologies, out next question comes from Mark Zwartsenburg from ING. Please go ahead.
Mark Zwartsenburg: Two questions, first of all on your statement of limited M&A Robert Jan. Can you give us an indication what it means limited M&A? Is that say south of max of €1 billion in terms of deal size -- not one acquisition but all the acquisitions together, that is sort of ballpark figure? That's my first question. And the other one is on the tax line. Can you give us a bit of guidance on the tax line for say 2017, 2018 including that Monster will have a huge impact due to the deferred -- the tax synergies you are expecting of $17 million? That's it, thanks.
Jacques van den Broek: On the limited M&A. Well it well certainly be below a few billion.
Mark Zwartsenburg: No €1 billion I mentioned.
Jacques van den Broek: Mark. I understand Mark. It will be way below that.
Mark Zwartsenburg: Okay.
Jacques van den Broek: Just to be clear as you know we have a reputation that we don't like stretched balance sheets so it's going to be significantly below that number. It should be relatively small and bolt-on M&A. If we [indiscernible]. And then the tax line, I think we have indicated 24% to 27% as an indication for the effective tax rate for 2017.
Mark Zwartsenburg: And that will not change due to the inclusion of Monster?
David Tailleur: Mark I think -- it's David here, I think you're referring to the cash tax rate also.
Mark Zwartsenburg: Yes.
David Tailleur: That was volatile through the years. So that will probably be flattish versus 2016.
Mark Zwartsenburg: Okay, thank you very much.
Robert Jan van de Kraats: And I think this is -- you know as we try to give you a wide range and then work hard to be at the best end of the range. So -- but that needs to come through in 2017.
Mark Zwartsenburg: Yes but especially the cash taxes are important now that you're steering also the CICE cash is coming in. So that's a good one.
Mark Zwartsenburg: I have more questions actually, can I put in one more?
Robert Jan van de Kraats: Okay, Chris did not put in one so you can do.
Mark Zwartsenburg: Okay, on the U.S. indeed in Q4 you saw some volatile picture around the staffing company's reporting. But you see on the jobs the figures for January and also the lead indicators are pointing to a slight improvement if I'm correct. Is there anything that you see within your business perhaps in your manufacturing or in your Inhouse segment that indicates that indeed the trend in the U.S. might improve a little bit over January into February.
Jacques van den Broek: No actually if we were to analyze our own mostly manufacturing and blue-collar then the like-for-like lines are actually going down a bit. So our growth is very much fueled on the back of new clients. So in that sense we don't see any [indiscernible] improvement yet in January and February. Having said that our own numbers again in staffing in January look okay-ish but not a steep incline in growth.
Robert Jan van de Kraats: Mark I will add some comments to your previous question on the tax synergies to give you some clarity. Through tax planning this comes in the -- and it takes a few years to really hit the P&L and the cash flow as well. But it is -- given the lengthy term -- we have 20 years to offset this -- it's an extremely highly certain amount of money the synergies that we've just referred to. And the cash tax rate we believe will be around 20%, 22%.
Mark Zwartsenburg: 20%, 22%, okay.
Robert Jan van de Kraats: Hopefully that helps, right?
Operator: Our next question today comes from George Gregory from Exane PNB Paribas, please go ahead.
George Gregory: If I could just clarify a few of the numbers on Monster please I think you gave a tax synergy number of $17 million and corporate cost synergies of $7 million. Are they both U.S. dollars? Secondly I think in the statement you said that Monster's contribution to EBITA was 4 million. I think on the call you just said that the contribution for the entirety of the year was zero in underlying EBITA. If you could just clarify that point. And then finally I think you mentioned that you'd be capitalizing the internally developed software and amortizing that below the underlying EBITA line. Could you just clarify that point and then specifically why -- if that is the case -- why you are -- you'd be amortizing the internally developed software below the EBITA line please? Thanks
Jacques van den Broek: Yes, it's U.S. dollars first question. Second question the -- indeed there was positive contribution that is very much related to the consequences of bookkeeping. So I think the right data point is the zero for full year and Q1 a small adverse impact as I said. And finally on CapEx. This is the scientist behind IFRS have thought that it's a good idea to restate the balance sheet -- the opening balance sheet. As a result of which you'll get some relief on depreciation going forward of the old investments. But any new investments will work through. As we do always -- as we have always done at Randstad. So it will be capitalized and then coming through at the depreciation line. But there will be some relief in the P&L as from the beginning due to the fact that things have been reallocated in the balance sheet and not being depreciated any more. And the annual impact of that at the beginning will be around €15 million.
George Gregory: €15 million a year?
Jacques van den Broek: One five and just at the beginning. Because the amount will quickly reduce.
George Gregory: And sorry, just one quick follow up. The $17 million tax synergies, for how long do you envisage that running for?
Jacques van den Broek: Well that's quite a long period of time, 15 years we think that will last. But as I said in the previous -- as an answer to the previous question, it will not kick in as from day one, it will take a few years to kick in.
Operator: Our next question today comes from Suhasini Varanasi from Goldman Sachs, please go ahead.
Suhasini Varanasi: Two questions from me please. Germany growth has been very strong. Given the unemployment levels over there and the regulation changes that are happening, is this something that is sustainable? I know you had the exit rate of high single digits. But generally speaking about your market any color on that, that would be great.
Robert Jan van de Kraats: Yes, so Germany benefited certainly in Q4 from the calendar effect mentioned in December. Still we do see it mid-single digit. It's out performance, we're very happy with that. Also SME again outgrows large clients. So that works. But indeed looking at the labor market when you for example look at the southern part of the country there is 3%, 4% unemployment, maybe even be lower in some pockets. And certainly the better qualified people are tough to find, yes.
Suhasini Varanasi: Okay.
Robert Jan van de Kraats: But yes, so far so good, happy with our performance in Germany. Also permanent placement is improving, 11% growth of Professionals. So yes, it's a good year and again a good start of the year. The only -- we didn't mention it that much but sickness is a bit of an issue. So it still pays to be sick in Germany. So we have around 1% more sickness rate than you would humanly expect. So we would like to work on that, either in the new CLA so that's longer term. That's still something that we -- but not just us, any player in the market.
Jacques van den Broek: Yes but apart from that, [indiscernible] good in Germany, yes.
Suhasini Varanasi: A second question in on EBITA margin for 2017. I realize on the SG&A there are quite a lot of moving parts. I mean you've talked about synergies from Monster in a lot of detail. Attaining synergies from other M&A like for example Obiettivo or Proffice that are yet to come in 2017? And how is that going to get offset by the additional investments? And therefore SG&A for 2017 and implied EBITA margin?
Robert Jan van de Kraats: Yes, our focus for 2017 and that is -- that actually helps to serve the previous question on the significance of M&A. Our focus will be on returns from past acquisitions. That's the key theme now, integration and returns. So we should see those coming through in our performance. Please note that most acquisitions were -- I think they were acquired at an affordable price and that was the effect of underperformance of these companies.
Suhasini Varanasi: Yes.
Robert Jan van de Kraats: As we see opportunities to lift the performance of the acquired companies at least to the level -- the average level of the returns at Randstad -- and we're working hard to achieve that as quickly as possible. And as I tried to share with you in my presentation, all of these acquisitions are well on track now. Even the Italian one I would say significantly ahead.
Suhasini Varanasi: Yes and maybe a bit more color of course on synergies. Not all acquisitions are synergy prone. Obiettivo Lavoro very much so it's a rebranding coupling two companies. Proffice is in a way to a certain extent a reverse takeover. It's rebranding which is investment in a new brand. So these are more revenue and concept synergies where for example we bring our Inhouse to their blue-collar clients. Monster is very much a project, it's a company in itself. But also its our investment into digitization. And Ausy and BMC improve our business mix. Again not so much the synergies but very much buying more - a professional DNA to become -- and to shift the business mix in Europe more towards Professionals as it is in the U.S. So again different goals with different acquisitions.
Suhasini Varanasi: And how will investment balance this out. I mean incremental investment in 4 digitization for example?
Jacques van den Broek: Yes, that's too soon to tell.
Robert Jan van de Kraats: Yes and that's why I gave you some indication that the 2016 CapEx would be the high end of the scale for 2017.
Operator: Our next question today comes from Konrad Zomer from ABN AMRO, please go ahead.
Konrad Zomer: A question on the integration of BMC in the Netherlands, in the Professionals' area you saw revenues decline by 8% in the final quarter. And is that do you think in line with that happened to the Professionals' market in Q4 in the Netherlands? And do you think that purely because of the integration of BMC you will be able to accelerate the track back towards performance in line with the market? Thank you.
Jacques van den Broek: Yes, those are for us separate topics. So BMC is in a niche -- well a big niche which is the Government professionals. We will combine our own business which is roughly 30 million so relatively small within Yacht with BMC. So it's less of an integration. We will keep the brand because it is very well known amongst candidates and amongst clients. So again that's sort of a reverse integration here. And at Yacht it's a different one. So what we've seen is we've put together the business in 2015, led to a surprisingly good performance. But we created the split more. So we went from 360 consultants to sales and recruiters. What we've seen throughout 2016 is that quite a few people in the sales side didn't perform as we would like, so we replaced them. So we're now at Yacht we're having a relatively young set of consultants and this takes time to ramp up. So these are two separate topics. The minus eight is partly the comparison with the plus 19 last year. We think it's below the Professionals' market so yes, that's where we're.
Robert Jan van de Kraats: And Konrad with government sector, Jacques meant the local public sector mainly, that's where they are active.
Konrad Zomer: Yes and just on BMC. It seems that the growth rate that the Company has been able to achieve was higher than what Randstad was able to achieve in the Dutch market. Do you think that that will continue? Or do you think that will move towards your level of growth?
Jacques van den Broek: Yes, again this is incomparable as BMC is growing in a certain niche, also our part of that business is growing. So that's good. So we want our Professionals business to grow faster and BMC can keep on growing.
Robert Jan van de Kraats: And management is retained for one and a half years I believe Jacques?
Jacques van den Broek: Yes.
Operator: Our next question is from Chris Gallagher from JP Morgan, please go ahead.
Chris Gallagher: A couple of questions. The first around CICE. What would be the impact on your tax rate if CICE was removed or changed to a normal subsidy? And then also staying on France. One of your competitors mentioned that there is some cost increases in France through 2017. Which more or less offset increase in CICE. How do you see that? Thank you.
Jacques van den Broek: Okay, I'll -- the latter -- yes there are cost increases. Francois always tries to explain to me which they are but sometimes they're very complicated. But no, the increase in CICE positively offsets these increases in cost.
Robert Jan van de Kraats: And the impact of tax which I refer to -- I have to stick to the fact that is material relevant as an indication. Because it's all highly technical and uncertain. But it's not a rounding error, it's clearly significant
Chris Gallagher: Maybe just one more on Ausy, you mention -- you've obviously -- you've now taken control of that company. Organic growth there has been declining through the year. Do you think you can do anything to improve that going forward?
Jacques van den Broek: Yes, again it's early days. So we -- as Robert Jan mentioned we've got quite a sizable part of the shares. So hopefully we can start to squeeze out soon and be fully owned. And then we'll more formally get in discussion with them to see where we can help to improve the growth.
Operator: Our next question is from Rajesh Kumar from HSBC, please go ahead.
Rajesh Kumar: When you earlier made a comment about Hired.com do you see Hired.com and such businesses coming head to head with you on placement and temporary recruitment? Do you see your customers telling you that oh, we're not going to recruit from you but we're going to recruit via Hired.com? or are you drawing the inference looking at the high growth rate of such businesses?
Jacques van den Broek: No, again so Hired.com has a model which we call tech and touch. So you see many of these incumbents and they've got a technology tool. But then yes, they've got a few clients where it doesn't really gain traction. So Hired has humans in contact with candidates talking to them about the next step in their career. And presenting them in a yes -- privileged high touch way to clients. With still very strong algorithms to, in a way facilitate the first contact with these candidates. We do think that's a model going forward. And again that's partly the basis of our own tech and touch strategy where of course we've got the touch already and increasingly we'll have the tech. So yes. But it's not like clients will say we're not going to work with you. It's all about who presents the right candidate first.
Rajesh Kumar: So you're saying they are able to produce candidates before you?
Jacques van den Broek: That's not what I'm saying. I'm saying that Hired.com has a model that gains traction in the U.S. As you know the U.S. marketplace is very fragmented. And I also mentioned that -- on the back of the question from one of your colleagues -- this is a model. And if you are in future still traditionally just doing yes, the old way of either perm or professional staffing, you might have an issue going forward. And that's why we have formulated our own strategy. But we do think Hired is an example of those new players.
Rajesh Kumar: I understand what you're saying I just want to clarify if it is at your expense that you know that for sure. Or if that's something you're assuming.
Jacques van den Broek: Yes, the last.
Operator: Our next question today comes from Piethein Leune from NIBC, please go ahead.
Piethein Leune: Just a couple of follow up questions please. One is on the tax synergies from Monster. Did I hear correctly that you are expecting for 15 years an annual synergy of $17 million -- one, seven million?
Jacques van den Broek: Yes, sir, correct. Actually thanks for asking.
Piethein Leune: Yes, that puts the purchase price in a little bit of a different perspective. And the second one is on the Dutch Professionals and the related impact from the [indiscernible] payers. I may -- you mentioned I think in the opening statement that you expect that impact to tail off during the first quarter -- or after the first quarter of 2017. What do you expect of the new regulation going forward? I mean are you repositioning your payroll business now for the new changes in the business? Or do you expect some of that business to come back? Or how do you view that going forward?
Jacques van den Broek: Yes, freelance is an increasing relevant part of our business. We do see clients, not just in the Netherlands but also for example in Germany being quite aware of the whole governance issues. A few years ago in Germany we already saw a bankruptcy of the number two freelance broker which of course hurt clients. So our brokerage is going very fast. It's also a business we do in Yacht. You don't see it that much because it's a fee based product. Yes, laws come and go certainly on freelancers. We don't know yet but the freelancer is always worried about two things. Is my stuff and my paperwork in order? Where is my next assignment? That's where we play a role. And clients are also saying where can we find the freelancers and how can we manage it compliantly? And what we do see is some early signs that Fargo our marketplace there on freelancers can play an interesting role going forward in this whole spiel.
Piethein Leune: Okay, but you do not expect that business that you lost to rapidly come back now that the regulation has changed?
Jacques van den Broek: You mean the payrolling business?
Piethein Leune: Yes.
Jacques van den Broek: The Government payrolling business. Yes, I don't know. It was a call by the current Government, we'll have elections. But I don't expect them to beef it up quickly. So we're growing in the private sector in our payroll business at the moment.
Robert Jan van de Kraats: But we now have more civil servants.
Jacques van den Broek: Yes, we do.
Operator: [Operator Instructions]. We currently have no further questions on the phone line.
Jacques van den Broek: Well that's great. Well thank you for joining us at this call. We now will return immediately to work on returns from our acquisitions and on our organic growth. Thank you so much, I hope to see you on March 30 and if not we'll have our results announcement Q1 end of April. Thank you so much, bye.
Operator: Thank you for joining this morning's call ladies and gentlemen. You may now disconnect your line.